Operator: Good day, ladies and gentlemen, and welcome to today's Chipotle Mexican Grill, Inc. Fourth Quarter and Full-Year 2016 Earnings Conference Call. Today's conference is being recorded. And at this time, I'd like to turn the floor over to Mark Alexee, Investor Relations Manager for Chipotle Mexican Grill. Please go ahead, sir.
Mark Alexee - Chipotle Mexican Grill, Inc.: Thank you, Greg. Hello, everyone, and welcome to our call today. By now you should have access to our earnings announcement released this afternoon for the fourth quarter and full year of 2016. It may also be found on our website at chipotle.com in the Investor Relations section. Before we begin our presentation, I will remind everyone that parts of our discussion today will include forward-looking statements as defined in the securities laws. These forward-looking statements will include statements of our management's business outlook, forecasts for comparable restaurant sales trends, estimates of food, labor, occupancy and marketing cost trends for future periods, G&A and other cost savings for the full-year 2017, and descriptions of the impact of new technologies on our business, projections of effective tax rates for 2017, projections of capital investments and statements of our stock repurchases, as well as other statements or expectations and plans. These statements are based on information available to us today, and we are not assuming any obligation to update them. Forward-looking statements are subject to risks and uncertainties that could cause our actual results to differ materially from the forward-looking statements. We refer you to the risk factors in our Annual Reports on Form 10-K, as updated in our subsequent Form 10-Q for a discussion of these risks. I'd also like to remind everyone that we have adopted a self-imposed quiet period, restricting communications with investors during that period. The quiet period for Q1 will begin on the 15th day of the last month of each fiscal quarter and continues until the next earnings conference call. For the first quarter of 2017, it will begin March 15 and continue to our first quarter earnings release planned for April 25. We will start today's call with prepared remarks, and then we will take 20 to 30 minutes of questions. Because we recently presented our 2017 strategy at the ICR conference, our prepared remarks today will be brief before opening the lines for Q&A. We ask that you please limit your questions to one or two per individual. On the call with us today are Steve Ells, our Chairman and Chief Executive Officer; and Jack Hartung, Chief Financial Officer. We will also have Mark Crumpacker, our Chief Marketing and Development Officer; and Curt Garner, our Chief Information Officer, available for questions. With that, I will now turn the call over to Steve.
Steve Ells - Chipotle Mexican Grill, Inc.: Thanks, Mark, and good afternoon, everyone. Thanks for joining us. Today, I'm more confident than ever about Chipotle's future. I believe firmly in our mission to ensure that great food made with whole unprocessed ingredients is accessible to everyone. And I'm very encouraged by our rapid progress toward simplifying our operations and ensuring that we deliver an extraordinary dining experience for each and every one of our guests, in each and every one of our restaurants. I'm also confident in the significant changes we've made throughout the last year to position Chipotle for a strong performance in 2017. These efforts include the implementation of an industry-leading food safety system, investments in digital to enhance customer convenience of ordering, expanded use of consumer data and analysis, and changes to our leadership to strengthen our culture and sharpen our focus on the customer. Our business was built on doing just a few things and doing them extremely well. As we continue to restore our economic model, I'm most optimistic about our renewed focus on simplifying our restaurant operations and delivering an excellent guest experience. Our restaurant teams and field leaders are quickly embracing this new focus with enthusiasm. As we closed out the quarter and shifted to implementing our strategic plan for 2017, our teams are more motivated, more focused, and more energized than they have been in years. For the fourth quarter of 2016, we generated revenue of $1.03 billion, an increase of 3.7% on comparable restaurant sales decline of 4.8%, and the opening of 72 new restaurants. This produced diluted earnings of $0.55 per share for the quarter. Our comparable restaurant sales improved to a positive 14.7% in December, as we lapped the softer comparison from December 2015. Since our last update at the ICR conference in January, we've continued to make progress in ensuring that every restaurant is delivering an excellent guest experience. Next week, we will roll out a series of critical updates to our Restaurateur program which identifies, validates, and rewards our top-performing managers. These updates will align the achievement of restaurateur status with the measurable elements that directly resolve in an excellent customer experience. This was not the case in previous years when managers who achieved certain targets related to our people culture could be promoted to restaurateur despite the fact that the restaurants were not necessarily delivering excellent customer experience. All our teams now know that the path to restaurateur starts and ends with the customer experience they deliver. We've dramatically simplified the process and metrics. Our teams know that in order to become a restaurateur, you need to not only deliver A level of customer service, but also show that you can sustain that A level of service. It's clear that this focused approach is already making a difference. I restaurateurs have demonstrated the ability to deliver the highest level of customer satisfaction, and they are achieving this success by focusing on the critical elements of running a great restaurant, hiring great people, and training them to cook and serve delicious food quickly in a clean and inviting environment. To fully align the entire company around delivering an excellent guest experience, we're rolling out a new compensation system for our restaurant managers, restaurateurs, and field leaders. This new program is designed to reward those leaders who are delivering the best customer experience on a sustainable basis. We're implementing incentives that not only reward our teams for running great restaurants, but also for demonstrating continuous improvement in sustaining high performance. Beyond our efforts to strengthen the quality of customer service and restaurant operations, we are also making progress on our key digital initiatives. We' have redesigned and simplified our online ordering site, enabled online payment for catering and integrated with several well-known third-party providers for delivery. And we are well into the roll out of smarter pickup times. With more than 1,200 restaurants now using this system and the remaining restaurants will roll out this technology next week. The initial results for restaurants using smarter pickup times are encouraging. Not only are these restaurants seeing increases in the number of digital orders, but customers are also seeing faster service times between the time of order and the time of pickup. This improvement in speed of service reduces the average customer's wait by roughly half as compared to our legacy ordering system. With these significant improvements to our digital ordering experience, we are now in a position to promote digital ordering more aggressively. Just last month, we began promoting our new online ordering site, order.chipotle.com in those restaurants that already have smarter pickup times. By marketing these offerings, we have the potential to dramatically increase digital orders. We're also working aggressively to continue to attract and convert more new and lapsed customers. Over the second half of 2016, we attracted millions of new or lapsed customers. And we are pleased with the rate at which these new customers are converting from new or lapsed to regular customers. We're also excited about the potential to make these customers even more loyal and more frequent. After all, frequent customers start as infrequent ones. And our data shows that customers become more frequent in restaurants that are delivering a great experience. That's why it's so crucial to elevate the quality of the customer service in all of our restaurants. To help us execute our marketing strategy, we recently hired two new agency partners, Venables Bell for advertising and MullenLowe Mediahub for media planning and buying. These new partners will support the largest advertising campaign in our history, launching in April. The campaign will focus on taste and great ingredients in a way that clearly differentiates Chipotle from the competition. We'll also continue to build greater loyalty with our existing customers through brand marketing centered around our commitment to serving delicious food made from ingredients raised responsibly. These marketing initiatives combined with the ongoing improvements in the customer experience, and improved digital ordering channels gives me great confidence that 2017 is teed up to be a very successful year for Chipotle. With that, I'll now turn the call over to Jack.
John R. Hartung - Chipotle Mexican Grill, Inc.: Thanks, Steve, and good afternoon, everyone. As we start the new year we're optimistic about the direction we're headed. And we've already seen encouraging signs of improved restaurant operations. We finished the year with three consecutive months of improvements in each of our three internal customer satisfaction scores. Our restaurant teams and field leaders are quickly responding to our recent pivot to simplify restaurant operations, and they are keenly focused on delivering an excellent customer experience. These are early days with this new renewed focus on the customer, but we are proud of how our teams have responded, and it gives us great confidence that we're on the right track. With the change in the focus of our restaurant teams, which includes incentivizing and rewarding an elevated customer experience combined with our strategic initiatives related to digital and marketing Chipotle brands, we're are optimistic about our ability to one, grow our sales, two, improve our margins over time, and three, allow us to invest and building long-term shareholder value. There remains a lot of hard work ahead of us, but we believe in our vision, we believe in our strategy and we believe in our team's ability to continue to drive operational improvements. During December, we recorded positive monthly comp of 14.7%, which includes a 60 basis point benefit for deferred revenue related to Chiptopia. The sales comparisons ease in January as we're comparing to a down 36% versus a down 30% in December of 2015. But the dollar sales trends continued from December into January, and the January preliminary comp improved to 24.6%, which included a negative trading day of over 100 basis points, slightly offset by 20 basis points positive related to Chiptopia. For the first 28 days in January, the comp was 26%. But in the last three days of January, we traded a Friday and Saturday from last year, two of our highest volume days, for a Monday and Tuesday this year, two of our lowest volume days of the week. Of course winter weather in January often results in choppy trends day-to-day and week-to-week, but when we analyze the underlying comp trends, the January sales held up well, especially considering January had the lowest promotional activity of the past 12 months. We'll compare against a comp of down 26% in February and March, so expect the comp will ease accordingly during the rest of the quarter. Our average check declined during the full-year 2016, primarily due to a smaller group size. But the average check began to rebound in December and January, increasing by about 2% compared to last year, which recaptured about two-thirds of our decrease in check. During the fourth quarter, we reported $1.035 billion in sales, which included $6 million of previously deferred revenue related to our Chiptopia promotion. As of the end of the fourth quarter, our trailing 12-month average unit volume was down to just under $1.9 million, and that average volume will now begin to rebuild as our comps have turned positive. Looking to the P&L in Q4, we reported restaurant level margins of 13.5%. Our food costs were 35.3%, which is impacted by elevated avocado prices during October and November, which added about 40 basis points versus Q3. Assuming no significant change in expected food inflation, we expect our full-year 2017 food costs will be in the low 34% range. This includes anticipated cost savings from negotiations with our suppliers and our restaurant managing food costs by reducing waste and optimizing food ordering, food prep and their inventory. Labor costs were 27.5%, during the quarter, an increase of 140 basis points versus last year. Deleverage from lower restaurant sales along with wage inflation of about 5%, combined to negatively impact our labor cost as a percent of sales by a little over 200 basis points. But we started to see better deployment of our restaurant teams including salaried managers, which reduced labor by about 60 basis points. During 2017, we expect labor wage inflation will likely continue at the 4% to 5% level, which would add about 100 basis points or more to labor costs versus the full-year 2016. However, we are targeting to more than offset this inflation through continued better deployment of our salaried and hourly teams throughout the year and from leverage on a positive comp. Through January, we've maintained progress from the fourth quarter, and we hope to continue to build on gains and effective labor deployment throughout 2017. Typically, our Q1 labor as a percent of sales is about the same as the fourth quarter labor percent. However, during Q1 2017, to be sure, we will fully support the higher volume of digital orders expected from our first-ever broad-based marketing of digital. We expect to invest around $2 million in additional labor, or about 20 basis points. So Q1 labor as a percent of sales will be slightly higher in Q4. Once we have the cadence and better predictability of digital sales, our labor matrix should fully fund the hours needed to support our growing digital business. Occupancy as a percent of sales was higher due to sales deleverage, but with positive comps, we expect our occupancy costs in 2017 to decline to just over 7% of sales. Our other operating costs during the quarter were 16.3% of sales, including 4.7% of sales related to marketing and promotional activities. As we head into 2017, we are targeting an overall combined marketing and promo investment of around 3% of sales, although we will consider increasing that investment during the year based on the actual results of specific marketing efforts. The path to restoring our economic model is not a complicated one. But the operational efficiency and cost savings opportunities we've outlined will require great execution by our restaurant teams, led by our field leaders. Our teams are more aligned than ever on priority for 2017. And our first priority is to focus on our customers and provide excellent hospitality to every customer every day. And by simplifying operation to focus on the guests, the very things that lead to a great experience, the proper training and deployment of the restaurant team at the right time throughout the day and the proper ordering, prep and cooking of the right amount of delicious food throughout the day will also lead to better business results. As an example, we often have nearly the right number of hours scheduled for the full day, but too often we are short one crew person during peak lunch, when full staffing is imperative to deliver great throughput. And we have extra crew members during non-peak parts of the day. The overall hours are nearly correct for the day, but the deployment is not yet optimal. This can contribute to a deterioration of service levels during our critical peak hours. So consistently scheduling more effectively throughout the day will result in a better guest experience and better margins. Our G&A costs in the fourth quarter were 6.3% of sales and for the full year were 7.1% of sales for a total of $276 million. We've worked diligently over the past year to effectively manage our overhead costs, while supporting a growing business, strategically realigning resources to the highest priority. Our underlying G&A for 2017 excluding our support staff and employee bonus program and stock compensation is expected to be flat or even down versus last year. But including these items, we expect our G&A in 2017 will increase to around $300 million. After two years of reduced employee bonuses for our support team and no bonuses for the executive team, we expect to return to paying targeted bonuses for all employees in 2017, which will add around $20 million. We expect our stock comp will increase from around $55 million in 2016 to around $75 million to $80 million in 2017. The $55 million into 2016 was artificially low as it included a $6 million reversal of expense related to a performance share award where the shares expired unvested. We are planning to grant a retention bonus in the form of restricted shares for our non-executive support staff. And we also plan to broaden the participation in the equity plans, which combined with the one-time retention grant, will add around $15 million to $20 million to the stock comp. Offsetting these increases in staff bonuses and equity grants, our G&A reductions, including a reduction for our All Managers' Conference, which is held biannually and will not occur in 2017, along with expected reductions in legal and other G&A expenses. Our 2017 incentive equity programs have not been finalized, so these are just estimates at this time. A nonrecurring retention plan based on restricted shares and set of options is a great way to reward the hard-working commitment our people have put forth, and makes it much more likely they will stay and grow with us. Our effective tax rate for the quarter was higher than recent years at 48.7%, and effective tax rate for the full-year 2016 was 40.8%, compared with 38.2% in 2015. And comparing the full-year rates, our higher rate in 2016 was primarily due to higher effective state tax rate. We expect the 2017 full-year effective tax rate to return to normalized level and be in the 39% to 39.5% range, excluding possible volatility in the rate due to the adoption of a new accounting standard related to the tax treatment for exercises in the employee equity plan. During the quarter, we generated $68 million in cash from operations, which funded our $67 million investment in capital expenditure. As of December 31, we maintain $543 million in cash and liquid investments. We also repurchased $67 million worth of stock during the quarter at a weighted average price of $392 per share. For the full year 2017, we anticipate that we will invest about $225 million in CapEx, and going forward we anticipate we'll continue to generate cash from operations sufficient to fund new restaurants, while using excess funds from operations to opportunistically repurchase shares of stock. We faced a number of challenges over the past 14 months. We've also realigned our focus and have made important investments that are now beginning to take hold. We've reevaluated and refocused our operations. We've strengthened our marketing capabilities. We've introduced important enhancements related to digital, and we've begun to capture operating efficiencies. All of which make us optimistic about what we can accomplish in 2017. And despite the challenges, we've never lost sight of our purpose, which is what has made Chipotle a compelling brand and a compelling company. It's an exciting time for all us at Chipotle and we look forward to what our team is going to accomplish this year. Thanks for your time today. We'd now like to open up the lines for your questions.
Operator: And our first question comes from David Tarantino with Baird.
David E. Tarantino - Robert W. Baird & Co., Inc.: Hi. Good afternoon. Jack, just a question about the outlook for this year. I know you gave a lot of the pieces there in your commentary, but last quarter you outlined a goal or guidance of getting to around $10 in earnings per share, and there was no comment around that figure this time around. So could you just talk about whether that number is still in play in your mind? Or whether that's changed since the last time you commented?
John R. Hartung - Chipotle Mexican Grill, Inc.: Yes, David. We had talked about that in the third quarter that we had a stretch goal of $10 EPS during 2017, and a stretch margin of 20%. Those are still in play. We are still shooting for those. We didn't include those only because we discussed those at length at ICR and in other investor conferences. We've characterized those as reasonable, but stretch goals, and so they are still in play. I'd like to think, for example, the 20% restaurant level margin is something that we still expect to get to that sort of a run rate during the year, to make sure that we leverage the P&L as our sales have turned positive now. Make sure we drive operational efficiencies, make sure we do everything we can to restore our economic model. And we believe we can get to a run rate of right around that 20% restaurant level margin. Now will we get to that run rate in time so that we can deliver the full $10 in EPS and deliver an overall 20% margin? That's where the stretch comes in. So it's still a goal that's in play, David, but we're not characterizing it as normal guidance, if that makes sense.
David E. Tarantino - Robert W. Baird & Co., Inc.: Great. That's helpful. And then I guess on that last point on the run rate on the margin, can you talk about – I guess is the idea that that would be the run rate that you would carry over into 2018? Or would you exit the year at a higher rate so that 2018, all else being equal, would be higher than 2017?
John R. Hartung - Chipotle Mexican Grill, Inc.: Yeah, the idea behind the 20%, David, was based on kind of what our current volumes are right now and what we put out there as a comp guidance in the high-single digits is we think that our model has the potential, if we can do everything right from an execution standpoint, that we can deliver around that run rate of around 20%. If we end the year with momentum in comp and we see ourselves continuing to drive positive comps in 2018, that margin has upward potential. I've stated a number of times that if we can get all of our sales back, so if we can return to a $2.5 million restaurant company that we have the ability to fully regain all of our margin up to that 26%, 27% or higher. Now there are pieces of that, that we've been absorbing; for example, inflation. We've not had a price increase in three years. We're not planning any specific price increase right now. But at some point over time, we'll need to pass on some of the higher costs. But we believe we'll be able to do that. And then that along with leverage from the higher sales, that along with better negotiation, that along with better management at the restaurant level and holding the line on the P&L, on individual P&L line item. We still think we have the ability to recapture the high 20% margin range. The most important factor, though, year-by-year, is sales, how much we can build in terms of sales.
David E. Tarantino - Robert W. Baird & Co., Inc.: Great. Thank you.
Operator: And moving on, we'll hear from Jeff Farmer with Wells Fargo.
Jeff D. Farmer - Wells Fargo Securities LLC: Thanks. Just following-up on David's questions, can you guys provide some detail on the expected timeline for your cost control efforts on both the labor and food cost lines? I'm just curious how quickly we can see those benefits. Jack, if there's anything you can tell us about the cadence in which you'd expect to see some of those initiatives pay some dividends for you guys.
John R. Hartung - Chipotle Mexican Grill, Inc.: Yeah, Jeff, it's going to be hard and I really don't want to peg specific quarters. At ICR, we talked about, there's risk levels of everything we need to do to get to that kind of a 20% run rate. Some of the things like avocados have already come down, so that's going to happen. You're already going to see food costs improve during the first quarter. Other items, strategically doing a better job of managing our food costs during the year, that will happen over time. And so to say exactly when we will achieve the full savings that we potentially get at restaurant level, I don't want to commit to that. We could move really quick on that – quickly on that. And what's likely to happen is that our restaurants are going to move too quickly and portion size might be reduced; holding times might increase so that the quality experience might be reduced. Instead, what we want to do is make sure that we are ordering correctly, we're scheduling the right prep, that we're scheduling people during the right time. And we want to make sure that we're doing that in the right way every time. So I'd rather talk about it as we expect to get to a run rate during the year, Jeff and rather than commit to it in terms of specifically which quarter. And of course, the biggest variable here is the sales building. And so that's been the biggest variable in the last year, the hardest to predict. And so, our ability to recover our margins is highly contingent upon how we proceed in terms of the comps from here on out.
Jeff D. Farmer - Wells Fargo Securities LLC: And just one quick follow-up. You were asked about this at ICR, but just in terms of some color on the performance of those TV tests, I think it was in three markets, I think it was November-ish timeframe. But more specifically, where you tested TV, if those markets held on to any relative same-store sales performance in the weeks following the tests. So again, any color you can provide in terms of how impactful those marketing or TV tests have been would be helpful.
Mark Crumpacker - Chipotle Mexican Grill, Inc.: Sure, Jeff. This is Mark. The tests, as I mentioned at ICR, were – had the results I more or less expected, but it's somewhat mixed. So the results that we saw were basically an outsized level of awareness relative to the media buy, which is typical for television. But it's notoriously difficult to tease apart which part of the comp is a result of which part of the marketing or whether or not it was weather or competitive pressures or whatnot. But what I will say is that we saw a lift in two of the three markets where we tested. We actually saw a negative trend in one of the three markets. That's why I say it's mixed, so it's very difficult to tell the – to determine these things. So I can't tell you that we necessarily held or didn't hold the comp because it just wasn't big enough over that period of time for us to have seen – been able to identify the trend clearly. But having said that, it was a relatively small test. So these were three markets and it was just over a month of run for those spots, which really isn't a lot in the world of television. So the way to look at it going forward is as we launch our new campaign in April, there will be a video component, some of which will be on television. And it will be in a much more sustained run of the buy. So that will give us a much, much better sense of how television is performing. But the test as I mentioned, did confirm for me what I more or less thought it was going to do. But it certainly – that test wasn't a silver bullet.
Jeff D. Farmer - Wells Fargo Securities LLC: All right. Thank you.
Mark Crumpacker - Chipotle Mexican Grill, Inc.: Sure.
Operator: Moving on, from RBC Capital Markets, we have David Palmer.
David Palmer - RBC Capital Markets LLC: Thanks, good evening. You've discussed digital ordering, the new marketing, the simplification of operations. If you end up seeing your two-year trend rebuild through the year, what do you suspect will be the biggest reason for that rebuilding?
John R. Hartung - Chipotle Mexican Grill, Inc.: Well, okay. We've – I'm not sure, you might get a different answer from each of us. I think it's going to be based on the way we execute in the restaurant delivering a great customer experience, because that includes making sure the restaurant is clean, the line, the serving line is clean, that throughput is fast, that our crew is just providing an overall excellent experience. And when we execute well in the restaurant everything else is going to work well also. We have a better shot at executing digital, and so I think the single biggest thing we can do and the thing that we've been focused on really intently is to simplify our operations, make sure that our teams know clearly what it takes to deliver an excellent customer experience, which they do. That's the thing they do the best. If anything, we've maybe complicated it in the past. We've really de-mystified that, we've uncomplicated it, we're tying incentives to delivering an excellent experience. And I think that's the single biggest thing that will drive our sales during the year.
David Palmer - RBC Capital Markets LLC: And if you see certain metrics, what metrics will you look at this year to contemplate a potential price increase? You've talked about that being something you'll contemplate at some point. What will you look at to think about doing that?
John R. Hartung - Chipotle Mexican Grill, Inc.: Yes, David. We would look at our strongest markets, the market that have recovered the best, the markets that weren't impacted in the first place. And we'll look at markets where our operations are strong. And then we'll look at what competitors are doing. We don't have any plans right now, specific plans, but at some point we'll dip our toe in the water, and we'll take a market where there is a very low risk. And when the trends continue to build, and again, we're confident about our teams, we're confident about our pricing power, we're confident about we've got room to do this compared to our competitors. We'll at some point decide to dip our toe in the water and see how well that goes in that market. If that goes well, we'll consider what we do from there. But no specific plans right now to do anything with price.
David Palmer - RBC Capital Markets LLC: Thank you.
Operator: Your next question comes from Sara Senatore with Bernstein.
Sara Harkavy Senatore - Sanford C. Bernstein & Co. LLC: Thank you very much. I just wanted to ask a little bit more about the comp recovering (30:07), the volumes that you are seeing in both existing and new stores. And on the existing stores, I think as was referenced, a lot of us are inclined to look at two-year trends to control for ease or difficulty of comparison. So with that in mind, it looks like you are seeing a nice acceleration. Is that how you are thinking about the volumes? That you are in fact seeing, if you control for seasonality, a pretty nice improvement versus what appeared to be no real change through last year? And then on the new unit volumes, could you just talk about productivity there? I know in the past you have said when you market around new unit volumes – or new unit openings you see some improvement. But can you just talk a bit about if that's continued?
John R. Hartung - Chipotle Mexican Grill, Inc.: Yes, I will take the question on the comp, Sara, and then I'll turn it over to Mark on the new stores. The way I would say it is – I feel good about the comp trend. I feel like we're at least holding our own and perhaps starting to see an inflection point. But most importantly, we are doing this with very little promo. So we've weaned ourselves off of promo. Most of the improvement from December into January was we're going up against a softer comp, but I feel really good about that. And January is not a great month to get a perfect read on the trends. When you look at it day-by-day and week-by-week, you do see some volatility because of weather this year, weather last year. But when we look at it day-by-day, week-by-week, we feel good about what we're seeing, we feel good about holding onto or perhaps building sales from the previous trends. We're also seeing geographically that the Northeast has made a nice move in January, and so they've come back to the pack. And so we talked about the coast being the weakest, but during January, we saw the Northeast really come back to the pack quite a bit. And so the West Coast is still remained to be an outlier, so that was a nice move. And so we'll, Sara, continue to watch what happens during February. And then as the weather clears, but we feel pretty good about the trend so far.
Sara Harkavy Senatore - Sanford C. Bernstein & Co. LLC: Okay.
John R. Hartung - Chipotle Mexican Grill, Inc.: And then Mark, you want to...
Mark Crumpacker - Chipotle Mexican Grill, Inc.: Sure. Yeah, Sara, with regard to the new restaurants, they're performing right now at about 74% of our regular restaurants, which is an improvement, it got as low as 70% during the crisis, and we do see that the stores that we market are performing better. So now all new restaurants receive marketing at their opening. The other change that we've made with regard to new stores is the way we're choosing real estate, particularly in developing markets. As you know, we have our, or you may know, our real estate markets are categorized into four different categories, knew, proven, established, and developing. And in developing markets, we've reverted to choosing only Tier 1 sites, which we expect will have an ongoing effect on improving the ADS (33:21) in those restaurants. So all said, we're confident in where the new restaurants are headed and in the strategy around choosing those and in marketing.
Sara Harkavy Senatore - Sanford C. Bernstein & Co. LLC: Thank you.
Operator: Next from Bank of America, we'll hear from Gregory Francfort.
Gregory Paul Francfort - Bank of America Merrill Lynch: Hey, guys. Just going back to the margin question, maybe looking back at 2010 to 2015, I think you guys held the 26% to 27% restaurant margins on volumes that went from 18% to 24%. Can you talk about maybe why that was? And then as you look forward to 2018, do you need $2.5 million volumes to get to 27% restaurant margins? And how does that play together?
John R. Hartung - Chipotle Mexican Grill, Inc.: Yeah, Greg, if you look back to those periods, depending on what you look at, you're going to see a much different food cost. We in the fourth quarter had a 35.3% food cost. When you look back into those periods you're going to see a food cost somewhere in the 30%, 31% range, there's 400 basis point right there. The other piece is labor inflation. Since 2012, we've had labor inflation totaling about 20%. We have only taken about 5% of a menu price increase in that time, and so we've eaten a couple hundred basis points worth of labor inflation, at least, maybe even more. And so the food cost is higher because of things like, we've had inflation at steak, we've invested in Food With Integrity, things like that, And because we are a little bit behind right now menu pricing, I would say our food is at an elevated level, we've been eating some of the higher food costs over time, same thing with the labor. And so we need a combination, frankly, of getting our volume back, getting back into the $2.5 million range, delivering on some of the efficiencies that we've talked about, and passing on some of these higher costs to our customers. And if we do all that, I think we can get back into the high 20s%. If we only stayed at this current volume, $2 million, or so, I think it would be a stretch to consider getting some margin in the mid-20% range or higher, unless we wanted to just jam a very high menu price increase, but that's never been part of our strategy, because we want to be accessible to the masses. We want to remain affordable.
Gregory Paul Francfort - Bank of America Merrill Lynch: And then maybe just to follow-up, like to get to the 20% margins, I guess what sort of volumes do you need to do?
John R. Hartung - Chipotle Mexican Grill, Inc.: Well, it's within our guidance range. We talked about a guidance range for the year of in the high single-digits. So if we can achieve that kind of a comp, then achieve some of the negotiated savings that we've talked about, and achieve the operational savings, principally in food and labor, we think we can get up to – in the range of that 20% run rate.
Gregory Paul Francfort - Bank of America Merrill Lynch: Thanks. Very helpful. Appreciate it.
John R. Hartung - Chipotle Mexican Grill, Inc.: Thanks, Greg.
Operator: Next question comes from Karen Holthouse with Goldman Sachs.
Karen Holthouse - Goldman Sachs & Co.: Hi. Thank you for taking the questions. Looking at just sort of unit by unit and the initiatives to better manage cost of sales and labor, is there any sort of difference in the success rate you are having for stores that might be seeing more versus kind of less volatile week-to-week or day-to-day sales trends?
John R. Hartung - Chipotle Mexican Grill, Inc.: I'm not sure I understand the question, Karen, so unit-by-unit, when we see – are you trying to link our cost savings initiatives with sales building initiatives, to see if there's a correlation?
Karen Holthouse - Goldman Sachs & Co.: No, is there a correlation between units that might be – you had talked about just sort of week-to-week, day-to-day sales trends staying somewhat volatile. Are sort of the cost management initiatives going better or a little bit easier to wrap your heads around in stores that might be seeing a more consistent and less volatile sales trends?
John R. Hartung - Chipotle Mexican Grill, Inc.: Oh, yeah, yeah, yes. The answer is yes. And the volatility is not unit-by-unit; it's more market-by-market based on geography. But yes, it's a lot easier to manage food and labor – labor especially when you have predictability. And so when you have volatile weather, we have a snowstorm one day, your tendency is to probably have too many people on the staff and certainly even send people home. But generally, you are going to have deleverage, you're going to have excess labor, maybe excess food, although we don't usually – we have multiple deliveries a week, and so we don't usually have a problem unless we are closed because of a snowstorm for multiple day. But there's question about it. When we have predictability of the sales, we can do a better job of managing things like labor.
Karen Holthouse - Goldman Sachs & Co.: Okay. Thank you.
John R. Hartung - Chipotle Mexican Grill, Inc.: Thanks, Karen.
Operator: Next from Morgan Stanley, we have John Glass.
John Glass - Morgan Stanley & Co. LLC: Hey. Thanks very much. First, in your plans to roll out and accelerate digital, does that include activating that second line you've talked about? And maybe I'm having a hard time imagining it, but is it the kind of thing where you'd have to set it up for peak periods, staff it, and then break it down when it gets quieter? Or do you not need that second line, that's not really part of the plan for the first phase of digital?
John R. Hartung - Chipotle Mexican Grill, Inc.: I'll start with it, and then Curt may want to add on. John, a second make line is a huge part of it. It's a critical part of it. We have the second make line in most of our stores, some 90-something percent. I don't have the exact number. It is underutilized in a lot of our stores. In the 1,200 stores that we've already rolled out smarter pickup times, all of those stores already have a second make line specialist, a takeout specialist. We rolled out specifically to those stores first because we knew that they were staffed. We already knew that they have a skill and already the habits of using that second make line and executing well on the second make line. The stores that are going to roll out next week are the lower-volume stores. They don't necessarily have a takeout specialist, a trained takeout specialist. The $2 million investment that I described, that is an investment in labor for those teams to open up that line. It is going to be in excess of – kind of an advanced investment because if the sales – or as the sales come, our labor matrix will fully fund and fully allow those hours and we'll have normal margins. But we don't want to wait for the sales, execute poorly and then say, oh, we better start adding some labor. So we're going to front-load that a little bit, invest some extra labor in those stores. And then we'll be able to adjust. If stores stay low volume, we'll be able to adjust and make sure that we have the appropriate amount of labor. But we're optimistic that we're going to see additional digital second make line sales in all of our stores, and that will justify the labor investment that we're making in February. And it'll be fully part of the labor matrix.
John Glass - Morgan Stanley & Co. LLC: And if I could just follow-up, can you just refresh our memory from last year first and second quarter when you were doing more promotional activity? Were all transactions accounted for in comps or were the free burritos not recorded in the top line? And then was all the cost associated with that, was that all in the other operating expense line? Or was there anything else, for example in food costs, that related specifically to those promotions?
John R. Hartung - Chipotle Mexican Grill, Inc.: Yeah, John, when we have promotions, none of that would be in the sales because we would – it would be free. You would see the entire cost of that. So we would take the costs related to the food that we're giving away, all of that would be other and that would be in promo. And so for example, when we talk about 4.7% of sales in the fourth quarter being marketing and promo, the promo part of that is buy one, get ones or free chips and guac and things like that. So that's how you'd see the pieces.
John Glass - Morgan Stanley & Co. LLC: But to be clear, you wouldn't record a transaction if someone came in and got a free burrito?
John R. Hartung - Chipotle Mexican Grill, Inc.: Yes. We would record our transactions. So when you saw us report last year, if we did a, say, a – where transactions outperformed sales, that would be because if you came in and you got a free burrito, we would count you as a transaction, yet there would be no sales.
John Glass - Morgan Stanley & Co. LLC: Thank you.
John R. Hartung - Chipotle Mexican Grill, Inc.: Thanks, John.
Operator: Moving on, we'll hear from Sharon Zackfia with William Blair.
Sharon Zackfia - William Blair & Co. LLC: Hi. Good afternoon. Just a quick question on the Northeast and the improvement there. I think you might have done some leadership changes in the Northeast as well. So if you could maybe talk about what you think the causal elements have been in the Northeast.
John R. Hartung - Chipotle Mexican Grill, Inc.: Yeah, it's – I don't know yet, Sharon, whether I can attribute it to that. I'm very confident in the team out there, and I'm very confident that they will drive not only operational savings and customer experience improvements and that will lead to better sales. And so we may be seeing some of those early dividends. It may also be just a little volatility with the winter weather, but it looks pretty good to me. It looks like they closed the gap in a pretty meaningful way. So I'd like to say that yeah, the folks out there, even though they've only been out there a couple months, that they're already making a difference. But I know they still got their work ahead of them. But I'm optimistic that this is the right team. They are some of our top proven leaders that have gone in other markets and done a really fantastic job of hiring great people, training them and delivering a great experience. So it probably is some early dividends on that, Sharon, but it's really hard to tease out how much is that versus how much is just other factors.
Operator: All right. And moving on, we'll take our last question from John Ivankoe with JPMorgan.
John William Ivankoe - JPMorgan Securities LLC: Hi. Thank you very much. First, Jack, just a very basic question. I even apologize for asking it. The first quarter, for a lot of different reasons – the year-ago comparisons, the promos, the closed store, leap day – there's a lot of things that make the first quarter unusually difficult to predict from a comp perspective. And I know you've given full-year guidance and you don't typically give a quarterly guidance. But with you having access to all the data and just seeing the overall trend in customers, is it fair for me to ask somewhat of a comp range for people to expect in the first quarter because I fear expectations might be a little bit all over the place?
John R. Hartung - Chipotle Mexican Grill, Inc.: Well, it's fair to ask but we're not going to give it. We're thinking about building this business over more than just a quarter at a time. We're focused on running great restaurants. We're focused on the customer. We're focused on digital; focused on brand marketing and focused on restoring our economic model. So to breakout prediction quarter-by-quarter and then being defined based on those quarter-by-quarter predictions just isn't really helpful for us right now. So sorry, John. We're not going to do that, but we'll continue to give you updates each quarter. And we'll give you as much insight as we can about what we're doing, how we're doing. And I think that's a better way to discuss the – how the trends are going.
John William Ivankoe - JPMorgan Securities LLC: I completely understand. I thought maybe we could get away with it just for this one quarter.
Mark Crumpacker - Chipotle Mexican Grill, Inc.: It's always worth a try.
John William Ivankoe - JPMorgan Securities LLC: And then secondly, if I may, separate, could we talk about the direction of employee turnover, I mean maybe where that – you kind of peaked in 2016, what's happening with turnover now and if you're starting to see a market change, or I suppose improvement in turnover? And how you think that may be influencing your execution at the store level?
Curtis Evander Garner - Chipotle Mexican Grill, Inc.: Sure. So there's no question that we saw accelerating turnover rates post crisis for a number of reasons that we've talked about in the past. Laying on a lot of complexity to the teams, not – just a lot of new food safety initiatives, things like this. And so it's complicated for our teams, and that was one of the reasons that there was turnover. I will say, though, that since we have made it very, very clear how we find success in our restaurants now and how we get our restaurants to A and then on to restaurateur. The clarity and the understanding of how to do that has really helped morale. It's palpable. We can feel it in the restaurants. I think our folks appreciate that we've simplified it. I think that in our past, the tools that we had were sometimes more complicated than actually running a good restaurant. So we've really allowed now our folks – with great training, with a clear path to restaurateur, we've really allowed them to thrive. And so we're starting to see a great morale. And I think this is going to contribute to lower turnover throughout the year.
John William Ivankoe - JPMorgan Securities LLC: Thank you.
Operator: All right. And, ladies and gentlemen, that does conclude the question-and-answer session. I'd like to turn the floor back to Mark Alexee for any additional or closing remarks.
Mark Alexee - Chipotle Mexican Grill, Inc.: Great. Thanks, everyone. Thank you for joining us today, and we look forward to speaking with you to discuss our first quarter results in late April. Thanks again.
Operator: And, ladies and gentlemen, that does conclude today's conference. We appreciate your participation. You may now disconnect.